Operator: Good day, and welcome to the Misonix First Quarter Fiscal Year 2020 Earnings Call. Today's conference is being recorded. At this time, I'd like to turn the conference over to Mr. Norberto Aja, Investor Relations. Please go ahead.
Norberto Aja: Thank you, operator, and good afternoon, everyone. Thank you for joining the Misonix Fiscal 2020 First Quarter Conference Call. We will get started in just a minute with management's presentation and comments. But before doing so, let me take a minute to read the safe harbor disclosure. Today's call and webcast contain forward-looking statements within the meaning of the safe harbor provision of the U.S. Private Securities Litigation Reform Act of 1995 and can be identified by words such as anticipate, believe, estimate, expect, future, likely, may, should, will and other similar references to future periods. Examples of forward-looking statements include statements we make regarding guidance relating to our financial results. Forward-looking statements are neither historical facts nor assurance of future performance. Because forward-looking statements relate to the future, they are subject to inherent uncertainties, risks and changes in circumstances. Therefore, you should not rely on any of these forward-looking statements. We undertake no obligation to publicly update any forward-looking statements that may be made from time to time, whether as a result of new information, future developments or otherwise. Today's call and webcast will also include non-GAAP financial measures within the meaning of the SEC Regulation G. When required, a reconciliation of all non-GAAP financial measures to the most directly comparable financial measures calculated and presented in accordance with GAAP can be found in today's press release as well as in the company's website. With that, I would now like to turn the call over to Mr. Stavros Vizirgianakis, President and CEO of Misonix. Please go ahead.
Stavros Vizirgianakis: Thank you, Norberto, and good afternoon, everyone. Thank you for joining us on the call today to review our fiscal 2020 first quarter results. Joining me on the call today is Joe Dwyer, our Chief Financial Officer. We are pleased to report that we completed yet another quarter of strong growth and overall operational improvement, highlighted by total revenue growth of 19.1%, with increases across both our surgical and wound product lines as well as across our domestic and international markets. It is very important to note that these results were achieved without any licensing fees and with a very limited 2 shipping days of contribution from Solsys. As mentioned in our press release, beginning with the fiscal first quarter of 2020, we will report our results across 2 separate sales channels, our surgical division and our wound product division. We will no longer be presenting results across consumables and equipment. We think this better reflects the way we've set up the company on the back of the Solsys acquisition. The surgical division performed well as expected. Despite the challenges in transitioning from our legacy solutions to Nexus, the division's results reflect a healthy uptake that exists in the market and the strong appeal of our solutions. While sales of SonaStar, our aspirator, continue to -- continued its expected decline ahead of the transition to Nexus, the healthy pace of BoneScalpel and the successful, albeit very limited, rollout of Nexus led to an 18.1% year-over-year improvement in revenues. Regarding the wound division, we are very pleased with the performance and are even more confident in the ability to further the division's growth, as we combine SonicOne and TheraSkin under one dedicated wound sales team. Our wound business grew 25.7% this quarter. By geography, domestic sales increased by a healthy 21.1%, while international sales increased by 16.3%. The results also reflected improvements related to the supply chain. We have worked tirelessly to address these concerns and have reached a position where we are more confident in our ability to adequately support the business going forward. This is reflected in the new vendors we've brought onboard, the expanding supply chain and the $1.6 million increase in inventory, representing finished goods as well as our ability to successfully manage the Nexus rollout. Misonix will focus solely on handpiece development and manufacturer with a manufacturer of Nexus and all disposables products to be manufactured at various vendors. The results also reflect the success we have had in transforming the majority of the U.S. business from distributors to direct with minimal disruption and, more recently, the seamless integration between Solsys and Masonic sales teams. With regards to the sales team, I could not be more pleased with the level of their work, dedication and commitment. We now have over 144 domestic field resources across both divisions and plan to add a net 7 members in surgical and a net 3 members in wound during the current quarter. We're excited to see the 2 separate and dedicated sales channels for specialty surgical and advanced wound products working side-by-side and creating opportunity for additional distribution and bolt-ons. Looking at our operations; I'm pleased to see continued success in our initiatives focused on driving sales, productivity and efficiency across the business, as reflected in our gross margin of 71%. As it relates to Nexus, our revolutionary ultrasonic surgical platform, we could not be more pleased with its performance to date. On the back of our 510(k) clearance by the FDA and the receipt of the CE approval, we began our limited release of Nexus to select customers across both the U.S. and Europe. We expect the rollout of Nexus to accelerate over the coming quarters as we meet a growing pipeline of demand. We have taken this opportunity to iron out minor issues relating to software and connectivity, so that we are prepared for the broader rollout starting mid-November. Having said that, we're extremely pleased with the initial results and the feedback we've received from physicians and hospitals regarding Nexus, including very encouraging feedback from a large, integrated delivery network. Nexus' upgrades and features such as improved cutting power and efficiency, streamline setup process and shorten turnover time, the ability to switch between tools on the fly as well as the incorporation of RF capability, make it an ideal tool for physicians looking for a best-in-class solution that combines surgical ultrasound, aspiration and a monopolar surgical tool into one single handpiece. Over the coming months, the rollout will accelerate as we begin to address our growing pipeline and focus on the opportunity to expand our business across neuro, spine, ortho, wound and general surgery. In short, we remain confident in Nexus' ability to generate significant and profitable growth. Commenting on Solsys, we are pleased to report that the integration is going as planned. The teams are working very well together, and morale is high across the board. As an example, at the recent Symposium on Advanced Wound Care in Las Vegas, we jointly showcased SonicOne and TheraSkin, and we're able to more effectively show the key benefits of how SonicOne protects viable tissues better than sharp debridement while removing nonviable tissue, and how TheraSkin perfectly complements that process by providing a leading regenerative solution to address chronic and hard-to-treat wounds. This has provided us with added confidence that as one company, we can yield greater results than as 2 separate stand-alone companies as we look to significantly enhance our ability to address the domestic wound biologics market, which is valued at approximately $700 million annually and projected to grow at a compound annual growth rate of around 8%. Encouraged by our success during the past couple of years, including the Solsys acquisition, we continue to proactively evaluate avenues for growth, and expect to be in a position to announce a distribution deal in the near term that will complement our current offering and help to further our growth and appeal to health care providers as we continue to look at pursuing and executing on strategic initiatives that will leverage the company's core competencies and build out our competitive positioning across neurosurgery, orthopedics and wound care. Looking ahead, we expect the strong momentum to continue through fiscal 2020. As such, we remain highly confident in our ability to deliver on our full year guidance of revenue growth in excess of 20% and to further improve across many facets of the business on the back of a more robust rollout of Nexus and a unified sales force. In summary, we are pleased with our financial results for the first quarter of fiscal 2020, reflecting the significant number of accomplishments the team has achieved over the past 3 years to move the company in a positive direction and build a solid and stable foundation for the future growth and profitability. We are pleased that these efforts have translated directly into shareholder value creation. I hope that you agree we're on the right path. With that, I would now like to turn the call over to our CFO, Joe Dwyer. Joe?
Joseph Dwyer: Thank you, Stavros, and good afternoon, everyone. As mentioned in today's press release, on September 27, Misonix acquired privately held Solsys Medical. Our reported results reflect the Misonix legacy operations as well as 2 shipping days of revenue and 4 days of expenses for the acquired Solsys operation. As Stavros mentioned, beginning with our first quarter, we adopted certain changes, and the quarterly financial results related to the presentation of our sales performance data to more accurately reflect the company's 2 separate channels -- sales channels in surgical division and its wound division. Going forward, we will present total domestic and international sales performance data for surgical and wound. As a result, we will discontinue reporting consumables versus equipment revenue. Remember that TheraSkin is classified as a consumables, so almost all the domestic sales will be consumables. On the international front, consumables versus equipment split remains at about 50-50. With that, I'll begin by reviewing the financial results for the quarter. Total fiscal first quarter product revenue increased to a record $11.1 million, reflecting a 25.7% increase in wound sales and an 18.1% rise in surgical sales. Looking at our geographic segments; domestic sales for Q1 increased 21.1%, and international sales rose 16.3%. Our surgical business represents 86.2% of total sales, while wound -- the wound business accounted for about 13.8%. With the acquisition of Solsys, we expect wound to capture a more meaningful percentage of total revenue in coming quarters. Operating expenses increased 10.4% to $10.2 million compared to $9.2 million in the prior year period. The year-over-year increase was primarily attributable to higher G&A expenses, which amounted to $4.2 million, as we recorded $1.8 million in onetime Solsys' transaction-related costs during the first quarter. Selling expenses increased by approximately $0.5 million to $5.2 million, and R&D expenses declined by 41% year-over-year to $771,000, resulting from the wind down of the Nexus development costs. As a result, when excluding nonrecurring and noncash expenses, total operating expenses for the quarter would have increased by 6% or $500,000 principally related to the growth of our sales force and several days of Solsys costs. This quarter, we recorded an income tax benefit of $4.1 million, which resulted from the Solsys acquisition. With Solsys, we acquired $4.1 million of deferred tax liabilities resulting from the book basis of our intangible assets acquired being higher than the tax basis. We netted the Solsys deferred tax liabilities with the Misonix deferred tax assets, which resulted in our releasing $4.1 million of our valuation allowance against the Misonix deferred tax assets, which gave rise to the benefit. We reported first quarter net income of $1.8 million or $0.17 per diluted share compared with a net loss of $2.6 million or $0.29 per share in the prior year period. The year-over-year increase in net income and net income per share was primarily attributable to the income tax benefit. Without the tax benefit, our net loss would have been $2.3 million this quarter compared to $2.6 million last year. Our adjusted EBITDA was a positive $307,000 for the quarter compared to an adjusted EBITDA loss of $644,000 in the prior year period. Moving on to our cash flow and balance sheet; working capital at September 30, 2019 was $21.6 million, and cash used in operations was $5.3 million, mainly due to a $2.2 million increase in use of cash to build finished goods inventory to support our growing demand for our products and a $1.9 million increase in accounts receivable based in part on higher sales. We ended fiscal Q1 with $12.9 million in cash and approximately $29 million in debt. Recall, we assumed $24 million of Solsys' secured debt at closing and renegotiated the terms to expand our borrowing capacity while reducing the interest rate and improving other key terms. As a result, Misonix has sufficient cash and debt capacity to fund our rapidly growing combined operations to profitability. We remain focused on actively managing our capital structure while driving sales, improving productivity and increasing efficiencies across the business. Regarding guidance for fiscal 2020, we expect product revenue to grow in excess of 20% and gross profit margins of approximately 20%. With Solsys consolidated for 3 quarters of the year, a 20% growth rate on pro forma basis puts us at about $72 million for fiscal 2020. While we have not modeled operating synergies for the combination of Misonix and Solsys, we're now beginning to recognize those savings as we integrate the 2 businesses. For example, by combining the medical insurance plans for the 2 companies, we'll be achieving savings of about $500,000 per year. And while EBITDA was positive for this quarter, with the addition of Solsys, we expect EBITDA to be negative for the rest of the year, with each quarter improving such that we turn EBITDA positive sometime in fiscal 2021. In closing, we are successfully executing on our integration and operating strategies, and we will continue to follow the approach we've deployed to grow both the top line while preserving a healthy balance sheet and capital structure. We remain confident that this momentum will enable us to meet our goal of enhancing long-term shareholder values as we move through the remainder of fiscal 2020 and beyond. With that, I'd like to turn the call over to the operator for questions.
Operator: [Operator Instructions] We'll first take Mr. Alex Nowak from Craig-Hallum Capital.
Alexander Nowak: Congrats on the nice results in the beginning of fiscal 2020. Stavros, are you comfortable saying that the supply chain now for consumables is stable at this point? And how are the suppliers doing building the Nexus components and the Nexus bolt to support the broader rollout this quarter?
Stavros Vizirgianakis: Yes. Thank you, Alex. Thank you for that. I would say overall supply chain has improved significantly. I think that's demonstrated by the increase in finished goods of about $1.6 million. A lot of the finished goods inventory relates to the Nexus bolt. And I'd really like to commend our contract manufacturer that we're working with in terms of the Nexus bolt. They've scaled up production. As I said in the call, we're looking to accelerate from mid-November onwards because we've taken the first quarter to really scope out the landscape, trial the unit, put it through its motions. And I think we're comfortable that we're now ready for prime time. At the same time, what we feel that our supporters, because they produce the products for us, they're also at a stage where they can ramp up production as needed. So I think from a Nexus perspective, in particular, on the generators, we're feeling comfortable at this stage to put the foot on the gas and go for a wider portion of the market.
Alexander Nowak: Okay, understood. And then you still -- you spoke previously about a combo study here with SonicOne and TheraSkin. With the deal with Solsys now closed, when do you think you'll start to look at studies and start to perform studies similar to this?
Stavros Vizirgianakis: Yes, I think that's probably going to be on the agenda from early next year. I think just to provide a little bit of color, there are a number of clinical initiatives and studies that Solsys are involved in currently. The biggest one is the randomized control trial on the application of TheraSkin in the diabetic foot ulcer arena. So that's a 100-patient study of a pretty significant investment from the company and a number of other retrospective studies that are going on. But I think, specifically to answer your question, the combination studies are something that we'll probably look at in the first calendar quarter next year as we get through the early integration issues.
Alexander Nowak: Okay, got it. And just last question for me. In the last call here, you mentioned the pipeline for Nexus units for fiscal '20 is roughly around 150 units. Are you willing to quantify the backlog today? And would you say that some of these centers have just been kind of waiting at the heels for this mid-November full rollout for you to begin launching.
Stavros Vizirgianakis: Yes, I think the demand has actually surprised us. We're a little bit conservative in terms of how much information we're going to let out, given that our competitors are following us pretty closely in the market. What I will say that is our pipeline is robust. It probably exceeds our expectations today. Unfortunately, I can't quantify an exact number, but we've had a number of early successes, one with a big IDN network, where we went head-to-head with 2 competitors in the market and fared really well. So I'm hoping by next quarter, we can share more specifics with the group. But at this stage, I'll just say that as -- Nexus is going above expectation in terms of acceptance in the market and pipeline that is building.
Operator: We'll next take Mr. Kyle Rose from Canaccord.
Kyle Rose: And I apologize in advance. I'm at an airport, so I'm going to kind of stack all the questions up here. So the first is I just wanted to see, can you quantify the contribution of Solsys in the fiscal first quarter, and just kind of what was pro forma growth? And then when we think about some of the supply initiatives you've taken on over the course of the last 3 to 6 months, will the dual sourcing or additional vendor work have any impact to gross margins over the course of the near term? And then I appreciate you want to keep things close to the vest with Nexus, but you did talk about the 150 placements or line of sight to those placements previously. So maybe help us understand, if demand is better than expected, will you be able to -- from a capacity or an inventory standpoint, meet or/and exceed that additional demand? And I'll hop back in queue.
Stavros Vizirgianakis: Sure, Kyle. Joe, do you want to answer the first question on Solsys?
Joseph Dwyer: Yes. For the 2 shipping days, it was about $300,000 in TheraSkin revenue. And on a pro forma basis, if we had had Solsys for the full quarter, the year-over-year growth would be about 22%.
Stavros Vizirgianakis: Okay. Moving on to gross margins, I think if we look at existing vendors today, the ones that we've added on, I think, on legacy products, in the near term, there's not a significant opportunity for margin improvement. We saw the margin bumping up towards the 71% level this quarter, which was encouraging. I think there definitely is opportunity that exists to improve margin on Nexus product going forward. Because right now, the Nexus bolt on the consumables is in pretty limited numbers. So I think as we scale up the numbers on Nexus and look to add on some additional vendors, even outside of the U.S. borders right now, I think there are certainly opportunities to lower costs significantly, we're thinking at double digits from a packaging, sterilization and titanium machining point of view. In terms of line of sight, we did quote that 150 number, I think we'll probably exceed that number. I think that the decision that we took in the beginning to go with an outsourced manufacturer was exactly for that guidance that we've given. If we were -- saw a bigger demand in the market and needed to scale production, it would have been challenging to do that internally. But I think with the partner that we've got, the line of sight that we've had with them, I think that we could scale pretty significantly on the Nexus side without a significant disruption to supply chain. The bigger challenge for us will be to transition our legacy manufacturing of BoneScalpel and SonaStar to China and build up manufacturing capacity on the handpieces. Because with Nexus, we're seeing significant handpiece demand because you now have the opportunity to potentially sell 4 handpieces on an excess unit if customers are going to be using it for the neuro as well as bone-cutting application out of the gate. So the area that we need to spend time and focus on is really on the handpiece side, being able to scale that manufacturer. But on console units, we're feeling pretty confident. I hope that answers all your questions, Karl.
Operator: [Operator Instructions] We'll next go with Mr. Ryan Zimmerman from BTIG.
Ryan Zimmerman: Congrats on all the progress. I want to follow up on a couple of questions. This is more of a housekeeping for Joe. I think you gave gross margin guidance, but you may have said 20%. I think -- do you mean to say 70%? I just want to clarify that.
Joseph Dwyer: Yes, 20% revenue growth and 70% gross margins.
Ryan Zimmerman: Okay, yes. I jumped out of my seat when I heard 20% gross margins. And then...
Joseph Dwyer: Me, too.
Ryan Zimmerman: So, maybe just turning to the sales force projections and a little bit of kind of what you took away from SAWC. Stavros, you mentioned kind of where you're taking the sales force in the near term. Maybe help us understand kind of where do you envision for the sales force over the next year? And what -- and then as a follow-up to that, what do you think TheraSkin can do from a pull-through perspective on other products, whether it be SonaStar or Nexus ultimately, and how we should just be thinking about the interplay between the 2 products?
Stavros Vizirgianakis: Right. In terms of sales force development, we've got a program internally, where the 2 leaders, Scott on the surgical side and Willy on the wound side, have been tasked with adding 20 additional resources per year into the division. So as we find available people and look at expanding territories, they will hire accordingly. So there may be a little bit of lumpiness. You may have 7 being hired in one division in one quarter and a net of 3 in another division. But generally, I would model it that we're increasing the sales force headcount by about 5 per division. So overall, that's 10 per quarter as the company continues to grow. Where we see a lot of opportunity for pull-through is if we have to look at Nexus today, it's really being promoted through the surgical team. As we transition the SonicOne legacy product successfully over into the wound care's -- wound care team's bag, I think there exists an opportunity to have a wider group promote the overall Nexus concept. So instead of having 60 people promoting Nexus, just being a surgical team promote the technology, you're now going to have the opportunity of all 146 resources being able to talk about Nexus and the cross-selling opportunities. Because, as you know, it's not only wound, but it's neuro, surgical as well as general surgery. So we see that as a definite near-term opportunity. The bigger opportunity that we see is to leverage the existing user base that we have in SonicOne, which is predominantly an OR user base, to now take in the TheraSkin product and introduce it to physicians. Because we believe that the combination of our SonicOne debridement with a TheraSkin will lead to a better outcome, we think we can certainly get more evaluations. And by having people that have a reason to be in OR for debridement, which is a less crowded space than tissue, we think that gives us the opportunity to leverage those relationships that we've already got on the ground. Conversely, existing TheraSkin accounts, when we did the diligence, we saw that there were less than really a 5% crossover into TheraSkin accounts with debridement. So existing physicians that are using TheraSkin in the OR environment, that's obviously a low-hanging fruit to now bring in the debridement option and offer debridement along with tissue. So we think that the productivity per rep on the wound care side has the opportunity to grow pretty significantly by having both products in the bag. And we also think it creates a hedge way for us to introduce additional products down the road because we've spoken about creating a portfolio of solutions. So SonicOne and TheraSkin is really the first step in this transition to building the portfolio over time.
Ryan Zimmerman: Got it. And just so I'm clear, investors should assume there's nothing in front of you as it relates to the Solsys integration at this point? Are there any hurdles or milestones that we should be aware of, recognizing that the transaction is complete, but maybe more operationally that you're kind of targeting?
Stavros Vizirgianakis: Absolutely. I think a very valid question that you asked, Ryan. I think there's really 3 issues that we are dealing with currently. The biggest one is the Solsys-Misonix integration. And I can say that, that is going exceptionally well, above expectations. The teams are working well, the 2 teams of surgical and the wound team. The product transition from the surgical team, the SonicOne OR into the wound team, has really gone exceptionally well. There've been no hiccups along that. From an administrative perspective, there's a lot of commonality between the 2 businesses. Both businesses were run on the Net3 system. We use a similar expense system Concur. We use a similar payroll system. So I think it's a pretty simple integration from a systems perspective. And I think the fact that we haven't lost any people, key people as well as lower level administrative people in the process, we've kept the full staff complement in place. I think that has helped us with an easier integration than what we couldn't have imagined. The other thing is that with the Nexus launch, there's a lot of execution risk that we have. And right now, the team is executing. We've, I think, taken the conservative approach with Nexus that we did a limited launch to the marketplace. There was a lot of pressure from customers for us to do a national launch. But I think starting slower, we learned some critical things in the sales process that are certainly going to help us as we accelerate the rollout. So I think right now, we're busy. It's never been a busier time. In terms of the 2 companies, the Solsys branding, so to speak, will probably disappear by the end of the year. So we will all be one Misonix organization from the 1st of January. So now I've given you a lot of detail, but it's not a straightforward question. There's a lot going on with the integration, because it is a significant transaction for both companies.
Operator: This concludes today's question-and-answer session. At this time, I'd like to turn the conference back over to the moderator for closing remarks.
Stavros Vizirgianakis: Thank you, operator. Thank you all for joining us on the call today and for your continued interest and support. I'd like to take this opportunity to give special thanks to our team members, who are working very hard every day to make Misonix a world-class company. I would also like to thank our loyal customers, great partners and support of shareholders. In closing, we are operating in an industry with a total addressable market multiple times greater than our current relatively modest annual revenue, providing us with ample runway for growth. The health care industry continues to be healthy and continues to grow. Health care providers have an increasing need for the products and solutions we provide. The success we are seeing across our business is not only improving and growing, but also doing so consistently, grounded on the stable foundation we have built over the past 3 years. We are very optimistic that we've made the right decisions and that we have the solutions, health care providers are increasingly looking for in need of and that we will be able to bring to market and support these solutions as well as offer our clients not only a superior solution to achieve positive patient outcomes, but also the highest level of training and support. We look forward to talking to you all again in about 3 months from now to report on our December ending fiscal 2020 second quarter. Should you have any additional questions, in the meantime, or if you'd like to schedule a call or meeting with management, please contact our Investor Relations firm, JCIR. They can be contacted on (212) 835-8500. Thank you again. Goodbye.
Operator: This concludes today's call. Thank you for your participation. You may now go ahead and disconnect.